Operator: Good morning. And welcome to the J&J Snack Foods Fourth Quarter Earnings Conference Call. My name is Cheryl and I will be your operator for today's call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions] Please note that this conference call is being recorded. I will now turn the call over to Dennis Moore. Sir, you may begin.
Gerry Shreiber: This is Gerry Shreiber. Dennis Moore is here, but he's across the room giving Radano a kiss. But I can begin whenever you're ready. Cheryl?
Operator: Yes, I'm here sir.
Gerry Shreiber: Okay. This is Gerry Shreiber and I'm ready when you say go.
Operator: Okay. You're the main conference sir, you can begin.
Gerry Shreiber: Right. Good morning everyone and welcome to our fourth quarter conference. I am Gerry Shreiber and I will lead the discussion and then we'll turn it over to the people who are attending with me and they are in order; Bob Radano, who is our COO, Dennis Moore, our CFO; Bob Pape, our Senior Vice President of Sales; Jerry Law, Senior Vice President; Marjorie Roshkoff Shreiber who is our Head of Legal; and Bo Powell, who is our Sales Manager for our food service. I will now begin the call with following obligatory statements. The forward-looking statements containing herein are subject to certain risks and uncertainties that could cause actual results to differ from those projected in the forward-looking statements. You are cautioned not to place undue reliance on these forward-looking statements which reflect management's analysis only as of this date. We undertake no obligation to publicly revise or update these forward-looking statements to reflect events or circumstances that arise after the date hereof. Results of operations net sales increased 4% for the quarter and increased 4% for the year. Operating income in our fourth quarter was $31.1 million for both years and increased 6% to $117 million for the year. Food service, sales to food service customers increased about 1% for the quarter. Sales of soft pretzels were down 4% and we had increase sales of funnel cake up 6%, churros up 7%, frozen novelties up 3% and bakery products up 4%, handheld sales were down. For the year, food service sales were up 2% with increase sales of soft pretzels, bakery products, funnel cake, frozen juice bars and churros. Handheld sales were down 19% for the year. Retail supermarkets which include grocery, sales of products to retail supermarket were up less than 1% for the quarter and down 1% for the year. Soft pretzel sales were down 4% for the quarter and a 0.5% for the year. Sales of frozen juice bars and Italian ices were up 4% in the quarter and down 1% of the year. Handheld sales were down 24% for the quarter and down 12% of the year. ICEE and frozen beverages which include Arctic blasts and slush puppie. Frozen beverage and related products sales were up 13% in the quarter and 13% for the year. Beverage related sales alone were up 9% in the quarter and 7% for the year with gallon sales up 5% and 8% in our base ICEE business. Service revenue for others was up 10% and 8%. Machine revenues were up a sharp 41% for the quarter and 60% for the year. Consolidated gross profits as a percentage of sales in the quarter decreased to 29.8% from 30.3% last year and was 29.5% this year and 29.5% last year for the year as the benefits improved, other improved operations in several of our manufacturing facilities and some modest increased pricing were offset by increases in lower margin sales of machines in our ICEE and frozen beverage segment and increases of lower margin sales of bakery and bakery products in our food service segment. Operating income in our fourth quarter was $31.1 million for both years and increased 6% to $117 million for the year. Our EBITDA, that's earnings before interest, taxes, depreciation and amortization for the past 12 months was $165 million. Total operating expense as a percentage of sales was 19.8% in the fourth quarter down slightly from last year's 20.0%. For the year, the percentage decreased to 19.7% from 19.8% of a year ago. Capital spending and cash flow, our cash and investment securities balance of $343 million was up 29 million from our June quarter and $67 million from a year ago. We continued to look for acquisitions as a use of our cash. 128 million of our investments are in corporate bonds with a yield to maturity of 2.8%. Our capital spending was $15 million in the quarter as we continue to invest in plant efficiency and growing our business. Our spending for the year was $57 million, $3 million less than last year, a cash dividend of $0.50 a share was declared by our Board of Directors and paid on October 3, 2019. We did not buy any shares of our stock during this quarter. We did not buy back any shares of our stock this quarter. Other points of commentary, food service soft pretzels continued its recent strong sales growth in convenience store chain, but sales to restaurant chains have been down slightly. Churro sales continue to be strong and warehouse club stores and across the board. Funnel cake sales continue to do well in schools. Bakery sales were up this quarter as we had significantly higher sales to one costumer and handheld sales were down 23% for the quarter because of a drop off in co-pack business and sales to restaurant chains. Frozen juice bars and ICEE sales were up in the quarter and the year due to increased warehouse clubs to our business. Overall, sales to restaurant chains and [indiscernible], while sales to schools have been up modestly. Operating income in our food service segment was down 5% to $18.9 million in the quarter because of overall declines in volume, a non-reoccurring costs resulting from ramping up production to meet increased bakery sales demand from a single customer. Increase was from $74.1 million in 2018 to $78.1 million in 2019 resulting from benefits of improved operations at several of our manufacturing facilities and to some degrees some increased pricing. Soft pretzel sales and our supermarket segment were down 4% for the quarter because of decreases in volume. Frozen novelties sales were up 4% in the quarter due to price adjustments and lower trade spending. Operating income on our retail supermarket segment was $1.1 million in a quarter compared to none in last year's quarter and increased from $8.3 million to $8.9 million for the year. The primary contribution to the higher operating income this year was increases in pricing. Sales at our frozen beverage segment we're up a strong 13% for the quarter, service revenue was up 10% in a quarter as this business continue it's strong sales growth and machine sales and revenues were up 41% or $3.5 billion in the quarter. ICEE's operating income for the year was up $2.1 million or 8% due to strong sales growth and was down $181,000 for the quarter, mainly due to inventory adjustment balances. Thank you for your continued interest and I will now turn it back to the listening audience for any questions or comments. Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions]
Gerry Shreiber: I'm sorry. Can you repeat what you just said?
Operator: Standing for the question.
Gerry Shreiber: Okay.
Operator: Okay. Our first question comes from Jon Andersen. Jon, your line is now open.
Gerry Shreiber: Hello, Jon Andersen. How are you?
Jon Andersen: Hi, Gerry. I'm very good. How are you?
Gerry Shreiber: I'm good. Thank you.
Jon Andersen: Excellent. I hope everyone else around the table is good as well.
Gerry Shreiber: Everybody looks good including the two dogs I have here.
Jon Andersen: Well, it's been a good year for you and you have a lot to Crow about.
Gerry Shreiber: Yes. We do. And from my perspective, at least early in the year, it looks good for next year too.
Jon Andersen: Well, maybe that's a good place to start. Since, you had another successful year in '19, as you look ahead to 2020, what are some of your main priorities for 2020 at this point?
Gerry Shreiber: Well, we want to continue our growth and we're looking for solid mid percentage growth in our overall business and that will be hopefully augmented by some of our newer products that we're doing presently.
Jon Andersen: Okay. Do you, since you mentioned new products, how do you feel about the innovation pipeline, as it sits today relative to maybe the last year or two or, as good as better than?
Gerry Shreiber: Well, we're, hopefully, it's at least as good as, and perhaps a couple of points even better. But we continued to invest -- over invest in our manufacturing, which includes our R&D and we have multiple products in the pipeline that we plan on introducing, during the next -- in the next 12 months.
Jon Andersen: Okay.
Gerry Shreiber: Jerry Law?
Jerry Law: Yes. We have a vast pipeline, pretzels or frozen desserts, funnel cakes, yes, we continue to add products across the C stores channel, healthcare channels, we've continued to see some growth in those areas. Let me pause for a second. A few years ago, I mentioned in these sessions, our plans to increase overall our presence in convenience store and convenience store markets. We've done that and we're continuing now. We think we have some momentum behind them to continue that for the next several years.
Jon Andersen: Good. Good. That's great to hear. Thinking about soft pretzels for a minute, it seemed like there was -- it was a little less strong in the quarter, not overly concerned about an individual quarter, but how do you think about the restaurant part of the business, your customer base because that's been a growth area for you for multiple years and I'm just wondering, you still see the kind of opportunity there for further product penetration or you feel like you've kind of tapped that now and need to look beyond the C stores, health care, other channels.
Jerry Law: You'll recall that we entered that business about five or six years ago. We jumped out of the shoot and got to $50 million overall quickly. Then it had a couple of back to back year declines for no other reason than the consolidation that they were going through. But now it represents about $60 million overall in our revenue. And we have specific products and specific chains that we have plans to increase that for this year. So we're looking ahead the next certainly year or two in there with a good degree of confidence.
Jon Andersen: Excellent to hear. What's holding back margins at this point? Because I think, the top line has been strong and I always kind of thought that if you've got a certain amount of revenue growth that the margin -- gross margins would follow. I know you've been doing a lot of work in your supply chain. Do you feel like, your middle innings of that or are we now getting to a point where mid single digit growth can translate into higher margins as well?
Gerry Shreiber: Dennis, you wan to comment on that
Dennis Moore: Our margin for this year were impacted by a couple of factors. One being the higher sales of the lower margin ICEE machines. Overall, our margins in the balance of the business were higher. So that kind of, [distorts] [ph] the numbers somewhat. We also had some issues especially in our fourth quarter relating to new production for one of our customers. In our bakery business, we compacted our margin in the fourth quarter. So, I would say overall the margin profile is good. Margin profile was better this year, but was masked by those two issues, the our machine sales and the issues that we had in our fourth quarter in our bakery business.
Gerry Shreiber: And actually Jon has a little bit of explain. We had one large customer and it begins with an M, we got a big bunch of business from in our fourth quarter. Looking ahead for the next year or two, we will perform better with that business. But, we had some issues and just absorbing it all in to our couple of our Midwest plants.
Jerry Law: Yes. Jon, that the projected business when it was much lower than what actually came in and it caused the disruption where we had -- we have built a line to take on the business and we were prepared. But when the business came in, it was much bigger. We had to spread it from two facilities that moved into four facilities and our ramp up curve was pretty steep on that one. 
Gerry Shreiber: And Jon and I apologize, we [indiscernible], that sounds like a lame excuse. Picture a chicken with one leg, it is a lame excuse. We will do better.
Jon Andersen: I guess that's a high quality problem to have too much. Okay. Last one for me is, I think at one point over the years we've talked, someone mentioned, hey, if we built the cash and investment, pile that good exceeded $200 million, something like that, we'd really look at being more proactive and we're putting that cash to work, returning it to shareholders. I think you mentioned, your cash investment is now north of 340 million. So what's the thought process there?
Gerry Shreiber: Well, the thought process is to use that cash in the most efficient way that we can. And even though I am the largest shareholder, I am reluctant to redistribute this back to shareholders. But we are continually looking at acquisitions, some small, some big and the best use for that cash in my estimation is for acquisition.
Jon Andersen: Fair enough. Again, good year and something to crow about.
Gerry Shreiber: You got it.
Operator: Our next question comes from Debra. Your line is now open.
Debra Manche: Hi. This is Debra Manche from Lakewood Capital. I just had a quick question. Gerry, a lot of your revenue growth this year was attributable to frozen beverage machine sales, which were above historical averages. Do you anticipate these levels are sustainable or would you expect the reversion next year to historical averages?
Gerry Shreiber: Dan Fachner who is President of our Frozen Beverage division, which includes ICEE and Dan is on -- he is on a remote, listen. Dan, do you want to comment for that? But let me just say this, [indiscernible] frozen beverage machines jump out in one quarter, it is almost a matte for strong revenue growth in succeeding quarters. Dan, why don't you take that question and then better reply.
Dan Fachner: Sure. Hi, Debra. Yes. Last year, 2019 was a great year for us at equipment sales. 2020, I think and expect to be also a good year, probably slightly down because one of our large customers in '19 won't be repurchasing. Equipment sales are somewhat cyclical. But I expect a good year in 2020 as well.
Gerry Shreiber: And they don't follow any kind of specific pattern equipment sales, but it does bring the promise of higher revenue from gallons for the next quarters.
Dan Fachner: Gallon, then service revenue.
Debra Manche: Great. Thank you.
Operator: Our next question comes from David [indiscernible]. Your line is now open.
Unidentified Analyst: Good morning. I don't think we have, this is my first time with a pleasure. Congratulations on the strong year. Thank you. Just want to get into a couple of questions. One regarding on the Auntie Annie's a rollout, where you -- do you see it looked like there was some cannibalization of super pretzel. Are you seeing that across the board in most places? Was that expected? And was that a negative margin mix for you.
Gerry Shreiber: Jerry Law, you want to comment on that.
Jerry Law: More analysis, we don't see cannibalization of super pretzel at all, the sales in the quarter as a result of some of our pricing in the quarter, we had increased our pricing, which reduced -- resulted in lower less promotions of our product. That's what we primarily attributed to is his name.
Unidentified Analyst: Great. That helps.
Jerry Law: And this is Jerry again. Any edge was a formidable competitor for a number of years. We bought them and we were integrating it within our system and as we haven't past years have one other competitors in licenses. So, we expect our soft pretzel sales to continue to grow however modestly or strongly. And by doing these things that we did this year and for the past five or six years, it makes our overall business more bullish.
Unidentified Analyst: Got you. That makes sense. Thank you. When I look at your convenience distribution, I know we just discussed one of your opportunities for the future is a kind of wide space expansion. I see kind of like a 5% or 6% ACV, we use IRI here. Now, are you expecting, how high can that get and also are you expecting to increase your assortment convenience?
Gerry Shreiber: We are. And if you go into any of the national convenience stores and you look at that front, we had dreams of getting on that front counter eight and 10 years ago and now we're there. There's a big display case feature in rungs and rungs of pretzels. And I would suspect that 90% of the soft pretzel sales in convenience stores today are coming from us. We expect to increase that penetration around the country with all of its operators.
Unidentified Analyst: Yes. It seems like there's a lot of wide space. And my last question is regarding acquisitions. Just want to tackle that again. Where are you seeing valuations now and are they in line with where they were kind of last quarter? Have they backed up a little bit? And then in terms of food service and retail,
Gerry Shreiber: We look at growing our business always strategically but conservatively and given our major share -- a dominant share in there, these factor into our growth plans. I think pricing is a little bit relaxed than what it was two or three years ago. It's not quite what it was 10 years ago, but we continued to look for good space, not just wide space, good space for us in there and as we continue to grow our soft pretzel market.
Unidentified Analyst: Well, thank you for answering my questions and I will pass it on.
Gerry Shreiber: Thank you.
Operator: [Operator Instructions] At this time, I show no further questions in queue.
Gerry Shreiber: All right. Then let me conclude this conference. And again, it's a pleasure speaking with everybody and we look forward to many, many, many more quarters and years of solid growth. Thank you.
Operator: And thank you, ladies and gentlemen, this concludes today's conference. Thank you for your participation. You may now disconnect.